Operator: Good day, and welcome to Intevac's Second Quarter 2017 Financial Results Conference Call. At this time, all participants are in a listen-only mode. Following managements prepared remarks, we will conduct a question-and-answer session, and our instructions will follow at that time. [Operator Instructions] Please note that this conference call is being recorded today, July 31, 2017. At this time, I would like to turn the call over to Claire McAdams, Intevac's Investor Relations Counsel. Please go ahead.
Claire McAdams: Thank you and good afternoon everyone. Thank you for joining us today to discuss Intevac's financial results for the second quarter of 2017, which ended on July 1. In addition to discussing the company's recent results, we will provide financial guidance for the third quarter of 2017 and our current outlook for the full year. Joining me on the today's call are Wendell Blonigan, President and Chief Executive Officer; and Jim Moniz, Chief Financial Officer. Wendell will start with a review of each of our businesses and our outlook going forward, then Jim will review second quarter results and discuss our financial outlook for the third quarter and full year 2017 before turning the call over to Q&A. I would like to remind everyone that today's conference call contains forward-looking statements including, but not limited to statements regarding financial results for the Company's most recently completed fiscal quarter, which remains subject to adjustment in connection with the preparation of our Form 10-Q, as well as comments regarding future events and projections about the future financial performance of Intevac. These forward-looking statements are based upon our current expectations, and actual results could differ materially as a result of various risks and uncertainties relating to these comments and other risk factors discussed in documents filed by us with the Securities and Exchange Commission, including our annual report on Form 10-K and quarterly reports on Form 10-Q. The contents of this July 31st call include, time-sensitive forward-looking statements that represent our projections as of today. We undertake no obligation to update the forward-looking statements made during this conference call. I will now turn the call over to Wendell.
Wendell Blonigan: Thanks, Claire, and good afternoon. Today, we reported Q2 results exceeding guidance with revenues of $31 million and $0.05 per share in earnings. Revenues increased for the fifth consecutive quarter and more than doubled over the same quarter last year. As we continue to make significant progress towards our revenue growth and profitability objectives for the year. I am pleased to report that we recognize revenues on three of our solar iron implant systems during the quarter, one MATRIX pilot tool as part of our joint development program and two, ENERGi solar implant tools which we shipped in 2016. Continued strength in our core hard drive business led to non-system orders exceeding expectations going into the quarter and total revenues exceeding the high end of guidance. We bought three new 200 Leans in the quarter, which equates to 11,200 Leans booked over the last five quarters despite media overcapacity in the industry. Looking at the first half of 2017, we have achieved over $52 million in new equipment orders, a 27% increase from the first half of last year and more than tripled our thin-film equipment revenues the same period. We’ve now delivered three straight quarters of profitability for equipment segment contributing to total first half earnings of $0.13 per share. In our Photonics business, we continued to make good progress towards the development of our next-generation ISIE-19 sensor and new orders rebounded significantly to over $6 million. In the second quarter we were awarded new orders for the joint strike fighter program as well as booked additional funding for the development of our next-generation technologies and the programs that will drive the future growth of photonics. Today, we are raising our full-year 2017 revenue guidance again based on continued strength in our HDD business as well as our expectation to book and ship additional VERTEX tools into the display cover panel market before year-end. Now for an update on each of our businesses starting with thin-film equipment. In the hard disk drive market, the program to update and upgrade the technical capabilities of our customers install base continues. We booked three and shipped one 200 Lean in the second quarter with five in backlog at the quarter end. We have said that this is an ongoing technology upgrade program which we could see continuing into the foreseeable future, providing us with a solid base of business in our core HDD market. As a reminder, the systems we are currently -- increasing the installed base of media capacity in the industry. In fact, as we discussed last quarter, the install base of media capacity is actually lower today than it is been in over seven years given the permanent retirement of a portion of the industry’s media capacity. We believe media capacity has declined from 300 million this quarter to just under 265 million per quarter. The growth segment in the HDD market continues to be in high-capacity nearline drives, which is positive for our business, given a significant number of discs in each airline drive. The industry tie ratio or average number of disks per drive has been growing at an annual rate of 13% to a record 2.2 disk per drive in the first quarter. If the tie ratio continues to increase at this rate, demand will exceed the installed media capacity in around two years in a flat HDD unit environment. As we look into the near future, our HDD business is profitable, stable, and is forecast to drive $200 million to $300 million in total revenues over the next five years with a high-end depending on the timing of a return to capacity system orders. Compared to the four system shipments in 2016, we expect to ship six 200 Leans in 2017. Given the non-systems business upside we saw in the first half of the year, we now fully expect our hard drive business to increase in 2017 from 2016 levels. In the solar market, we revenued the last of our MATRIX systems in backlog during second and we continue to expect the market for our MATRIX PVD and implant products focused on high efficiency N-type solar cells will be soft over the next year and until overall weakness in the solar industries has improved. Recent dialogue in the solar industry at the inter solar conference this month, cantered around the potential effects of the Suniva section 201 petition currently under investigation at the ITC. The potential for a decline in domestic demand with increased pricing is a concern. And on the flip side the possibility of cell manufacturing build out in the United States is a possibility. It’s clearly a turbulent time in the industry with the decision date set for mid September and a report to be submitted to the President in mid-November. Encouraging for our solar business, and adding to the confidence in our five-year revenue opportunity estimate of 175 million is a 12 system ENERGi implant order booked earlier this year, which was the company’s largest ever equipment booking received outside of our core hard drive market. This order for nearly $23 million will support 1 gigawatt of high efficiency solar cell implant capacity. Shipping through the end of this year, we expect to recognize revenues on these tools in 2018 after receiving the first customer acceptances. Based on successful results of this new manufacturing line, this customer could be in a position to add additional capacity starting in 2018 as well. Since this customer is in China and supplying their domestic demand, we expect no impact from the Suniva petition. The largest driver of significant revenue growth potential over the next few years is our VERTEX project – product. The VERTEX deposits Optical Diamond-Like Carbon or oDLC protected coating on display cover panels. The production capacity order booked in 2016 was an important milestone for this business and winning a second tier-one customer for VERTEX was equally significant. We revenued all four of the Vertex tools in backlog in the first quarter, which means that our expectation to shipping revenue additional VERTEX tools in 2017, depends on additional orders in the coming months. Our first customer truly is in production and is actively adding customer projects incorporating our coding, our second customer is moving deliberately through evaluation, qualification processes. Both customers are highly motivated to achieve success using our oDLC coating and are evaluating our films for multiple applications. Truly, recently introduced the new cellphone back cover product called Magic Glass, which incorporates our oDLC. Since last quarter, they have been heavily promoting their glass back cover solution into the market place and running evaluations with multiple potential customers. During the quarter, we participated in their marketing activities in Asia, to continue the expansion of projects to fill their installed capacity. For smartphones they have secured two additional customers for cellphone covered glass and have been making good progress expanding their programs for wearables. Our second customer continues to progress through an exhaustive evaluation and qualification project -- process from the VERTEX tool and its film stacks. And since our last call, the VERTEX system has cleared multiple production readiness criteria. For our oDLC film specifically, we are in various stages of evaluation depending on the application and progressing through decision points for an initial application. The extensive evaluation and qualification processes in which we are engaged, has taken longer than we anticipated, but the positive aspect is that our customers are making a substantial commitment in time and resources to bring our technology to market. Given their commitment, we have worked to reduce our lead times and are actively managing our inventory in order to quickly deliver on orders in the second half of the year. In addition to our efforts with our existing VERTEX customers, we continue to engage with additional cellphone and cover glass manufacturers, leveraging our in-house coding capability. Assuming a 25% adoption rate in the smartphone and tablet covered glass markets, our five-year revenue opportunity for the VERTEX is approximately $500 million, with additional opportunities for back cover glass on cell phones, wearables, auto infotainment and more all incremental to that figure. Finally, with regards to our oDLC films, I’d like to call your attention to a white paper we recently published on our protective coating solution, which you can find on the VERTEX section of our website. Now moving onto Photonics, for the past four quarters our photonics division has been delivering gross and operating margins well above our target model for this business, which is 35% gross margin and 12% to 15% operating margin. In the second quarter, we had an unexpected sensor yield excursion that adversely impacted our gross margin and drove our result lower below our target model. We have modified some of our processes to address the issue and have already seen improvement in our yields this month. We expect the yield excursion to be a unique event to the second quarter. Also impacting our results in Photonics was a decision to increase our investment, strengthen our position and increase the revenue potential from the Family of Weapon Sights - Crew Served program. We had additional functionality and content in our wireless head-mounted displays with our original prime and we are now positioning with the second prime on the program. The Crew-Served program will be split between two primes and it’s our objective to be the head-mounted display provider for both. The added cost of this investment, along with the yield excursion affected our Q2 margins, but going forward, we expect our Photonics margin to return to the target model range. Turning now to our accomplishments. We made significant progress in Photonics last quarter advancing our next-generation sensor development programming -- program and expanding our opportunities for binocular goggles products. On the last call, we were excited to announce the approval of the DELTA-I program for the Department of Defense’s Coalition Warfare Program. This program funded by DOD SOCOM and several coalition partners will provide the funding to complete the development of our ISIE 19 Sensor, as well as multiple digitally-fused infrared/night vision goggles incorporating the ISIE 19 to the coalition. In the second quarter, we made steady progress in moving through the required process to get on contract scheduled to begin funding in April of 2018. In the meantime, we continue to develop our new sensor technology and successfully booked $400,000 in Q2 and expect an additional $2.2 million from the government this week, bridging any possible gap and development funding from now until the significant award in 2018. At the recent Paris air show, we demonstrated our digital monocular goggle for multiple European and foreign-based militaries in primes and out of those efforts in Q2 were awarded a contract with the Australian Army to develop and deliver binoculars night vision goggles. Equally important, we have now received an export license for our ISIE 11sensor which enables this important program. The high resolution digital binocular goggles and digital monocular demonstrators which Intevac developed in 2016 with profits from the business has enabled us to expand our opportunity pipeline, secure the funding for our next-generation sensor, and engage us in goggle opportunities. Finally in Photonics, we made steady progress in the development and opportunity expansion in the family of weapon sight Crew-Served program. Our development is on schedule with our prime contractor and we have increased the content level by adding our proprietary see-through prism into the wireless head-mounted display offering. We also added new and advanced functionality in our objective to provide a solution for multiple primes on this program. The family of weapon sites is an important near-term product program for us and represents around $70 million of opportunity out of the total $1.4 billion opportunity pipeline of programs that we are engaged with or actively pursuing. So in summary, for the company overall, our outlook for 2017 has continued to gain momentum since our last conference call. In our thin-film equipment business, traction in new orders and revenues marked an important milestone in the growth trajectory of our company. So far this year, we have recognized revenue on all three of our new equipment platforms, the VERTEX, the MATRIX and the ENERGi and will follow on orders for 12 ENERGi implant tools and three additional 200 Leans. 2017 is a year that represents the crossover from pilot to capacity production systems for our new thin-film equipment growth markets. Last quarter, we raised our revenue guidance from 25% year-over-year growth to 35%, which incorporated a forecast for additional VERTEX tools, booking and shipping within the year. Given the upside in our hard drive business and our continued outlook of similar performance in Photonics, we now believe we can grow revenues 40% year-over-year with profitable bottom-line results. I will now turn the call over to Jim to discuss her second quarter results, provide guidance for the third quarter and to discuss additional details in the financial outlook for the year. Jim?
Jim Moniz: Thank you, Wendell. Consolidated second quarter revenues totaled $31 million; this was above our guidance of $27 million to $30 million. Thin-Film Equipment revenue totaled $22.4 million and included one 200 Lean, two four ion implant ENERGi systems and one Intevac MATRIX solar ion implant system, along with upgrades, spares and service. Photonics revenue of $8.5 million included $7.4 million of product revenue and $1.1 million of contract, research and development revenues. Q2 consolidated gross margin was $11.5 million or 37%. The higher revenues and guidance contributed to higher gross profit dollars but the margin percentage was at the low end of the range due to lower-than-expected margins in Photonics. Q2 R&D and SG&A expenses were $10.1 million, down from Q1 and lower than our guidance primarily due to reduced expenses for contracts and R&D. Given revenues above the high end of the range, along with reduced operating expenses, our Q2 net income exceeded guidance and was $1.1 million or $0.05 per diluted share. Our backlog was $68.9 million at quarter end. Thin-Film Equipment backlog of $54.6 million included five 200 LEAN hard drive systems, 12 ENERGi solar ion implant systems, and non-systems HDD backlog. The backlog in our Photonics business was $14.4 million. We ended the quarter with cash and investments, including restricted cash of $42.8 million, equivalent to approximately $1.98 per share, based on 21.6 million shares at quarter end. Cash flow used by operations was $2 million during Q2. Q2 capital expenditures were $1.1 million, and depreciation and amortization was $958,000 for the quarter. Now turning to the full year outlook for 2017. We continue to expect our Photonics business will see similar levels of revenues in 2017, compared to 2016 and we now believe we see an increase in hard drive revenues over 2016. Based on the strength in outlook for hard drive business as well as our continued confidence, that we will see additional revenues in our VERTEX business, today, we are raising our full year revenue growth expectation to around 40% over 2016. At this revenue level, we would expect gross margins of around 39% with operating expenses of approximately $41 million for the year. Below the operating line, we expect to see interest income of around $400,000 and net taxes of around $800,000 for the full year. For Q3 specifically, we are projecting consolidated Q3 revenues to be between $25 million and $26 million. We expect third quarter gross margin to be around 41%. Q3 operating expenses are expected to be around $10.5 million. We expect interest income of about $50,000 and net taxes of about $100,000 in the quarter. For Q3, we are projecting earnings per share to be approximately breakeven plus or minus $0.01 a share. We are assuming 23.5 million diluted shares outstanding. This completes the formal part of our presentation. Brian, we are ready for questions.
Operator: Thank you. [Operator Instructions] Your first question comes from Brian Alger with ROTH Capital Partners. Please proceed.
Brian Alger: Good afternoon and congratulations, obviously an impressive quarter on the topline and nice earnings to be with that lower R&D. I want to focus first on the solar products, the ENERGi obviously on hitting the backlog right now, but your commentary as it pertains to MATRIX, is MATRIX currently only being contemplated for domestic use here in the United States or are there foreign suppliers that are also looking at?
Wendell Blonigan: Well I think when you look at that spaces we are really focussed at which is the bifacial space and the interdigitated contact space. We’re not – there is not a lot of active capacity plans that are happening right now. The ENERGi implant is actually on a bifacial cell but they are not using it for metalization. They are printing rather than plating. The two PVD tools that we have out in the market were for copper seed. So, we’re not seeing a lot of activity there. It is matter of fact one of the big n-type makers took one of their -- at least announced, they were taking some capacity offline. So that's what gives us the outlook. We think its going to be soft. Are there opportunities? Whenever there is someone out there that is looking for a pattern implant in their device structure, as well as doing metallization plating, those are really the product offerings that we have on MATRIX.
Brian Alger: Got it. And as it pertains to the ENERGi with the Chinese customer, a gigawatt coming on from these tools, our understanding obviously is that they do plan to build out additional capacity beyond that first gigawatt. What’s the impression you have thus far in terms of their timing of additional orders?
Wendell Blonigan: I think in general getting too specific about their plans. What we've seen publicly being announced and you can follow that as far as where the money is coming from to support the builds. It’s not quite as aggressive as it was maybe six months ago, but still moving forward.
Brian Alger: Okay. And that’s all for Chinese domestic use, as I recall, correct?
Wendell Blonigan: That’s the majority of it is our understanding, although they don’t necessary share where they’re selling.
Brian Alger: Great. And just one last clarification, we’re talking about 2018 revenue rack, but we’re still on the normalized cash receipt, right in terms of getting the majority the revenues -- getting majority of the cash I should say, upfront correct on those tools?
Wendell Blonigan: That is correct, yes.
Brian Alger: Great. Thanks guys.
Wendell Blonigan: Thanks, Brian.
Operator: Thank you. Your next question will come from the line of Craig Ellis with B. Riley. Please proceed.
Q - Craig Ellis: Thanks for taking the questions and congratulations on the nice job in the quarter, guys. I just wanted to follow-up with the press release statement and something from the prepared remarks regarding VERTEX lead times. Can you help us understand how significantly those can be reduce and that something that’s winds up becoming structural so that is part of the ongoing program after the accomplishments that you’ve made that lead times will stabilize or is there something that’s more one–time about what’s going on right now?
Wendell Blonigan: Well, if I understand the question as far as you know, the standard lead times for those tools is about five to six months, and we've talked publicly about bringing those don under four. But that being said, I mean, if you look at the maximum lead times fundamentally as you take the order and you would buy all the components and build it and that would build-up your lead time. On the very other far end of the spectrum you can fill the tools to inventory and then the lead times are basically what it takes to do the transaction and ship. So, we’re cognizant to where we sit in the cycle and we – as we said, our very focused on managing our inventory to ensure that we can quickly in the back half of the year.
Q - Craig Ellis: Got it. That’s helpful. Thank you, Wendell. And then related to that you have a customer that is looking at VERTEX for smartphone and wearables application, can you talk a little bit more about how material you think variables could be as demand driver for VERTEX?
Wendell Blonigan: Well, it certainly depends on the size of the variable. So they’re very small sports watches. I believe they’ve -- Truly announced they do the polar watch that does drive a lot of square meters of glass. However some of the bigger applications will scale accordingly. But certainly it's a function that we’re seeing interest in that wearable space and it's a little less daunting of a process I would say to get qualified on that type of an application. And I did mentioned in my prepared remarks Truly did get a couple of cell phone makers. There are small I would say, Tier 2 in China that are using the film on their covered glass. So we’re still hat were still working with them. Like I said in my remarks we were out marketing together their back cover solution, and we certainly see a lot of attention being paid to glass back covers is as a trend moving forward.
Q - Craig Ellis: And that trend is driven by wireless charging, Wendell or is there something else that is driving interest in that on the part of customers?
Wendell Blonigan: I think the primary driver is wireless charging. You also look at transmission. I think you can get to your radio signals don't have to be quite as powerful, so you can actually get some extended battery life as well by transmitting in and our through insulator. So fundamentally you’re right, it’s a wireless charging.
Q - Craig Ellis: Thank you. And then just two that are finance-related for James. Regarding the operating in the quarter came down more significantly than we had expected. You said that was related to contracts in R&D. Was one meaningfully greater then the other with respect to the contribution to reduced OpEx and is that OpEx level sustainable going forward or was there something that was one time in nature that benefited OpEx in 2Q?
Jim Moniz: So, I think R&D was down a little more specifically then the contract side of it, but if you remember in Q1 we always see a higher increase OpEx in Q1 just because we threw everything backup to the start in terms of employer taxes and other types of things. And then as we’ve increased the revenue and the profitability we show more variable comp. So I expect as we gave guidance to OpEx in Q3 for us to be around the mid-10 level in Q3, and we were just slightly below that in Q2.
Q - Craig Ellis: Okay. And then the last from me and I’ll jump back into the queue. With regard to the higher year-on-year revenue growth guidance 40% year-on-year, very good, nice to see, but I think I heard the company mentioned that part of that was due to an additional VERTEX tool, so I expect that’s either in 3Q or 4Q, if I heard correctly, can you clarify when do you’d expect to rev rec in other tool?
Jim Moniz: I would say that, we’ll just leave it at the back half right now. The situation is dynamic, so we did build into our last revenue guide, additional VERTEX into our plan is still there.
Q - Craig Ellis: Thanks guys. Good luck.
Wendell Blonigan: Thank you.
Operator: Thank you. Your next question will come from the line of Ben Klieve with Noble Capital Markets. Please proceed.
Ben Klieve: Thank you. So, I have a few questions here first regarding kind of how we should look at taxes as you turn towards kind of more sustainable profitability of the longer term. I guess I’m wondering as we look into 2018, do you have a rough idea of what your pretex income breakdown is going to be on the domestic versus international basis going forward?
Wendell Blonigan: We’ll, you can imagine we’re not guiding 2018 now, but I can tell you there's a certain minimum amount of alternative minimum tax which is what you're seeing in 2017. And as we look forward we have over $60 million of NOLs and about $13 million of federal R&D tax credit. So we certainly have the ability to reduce the taxes going forward despite what we hope would be much higher income in 2018 but we haven’t guide into that yet.
Ben Klieve: Right. Okay. And – so then, another question I have regarding guidance. The guidance that you have for this year, what does that include from 200 Lean delivery perspective, I know you have one, the most recent order you indicated it won’t be ship until 2018. Then you had a two system order in May. Are those two systems including in your 2017 estimates or is that going to get push out to 2018, you think?
Wendell Blonigan: In the prepared remarks I had mentioned that we anticipate for the calendar year of 2017 to ship six 200 Leans.
Q - Craig Ellis: Okay. Okay. Thank you. Sorry, I miss that. And kind of last question I have is if you can elaborate a bit on the Photonics activity and that the new orders that you – new activity that you discuss. To what degree do you see any potential for following order from these awards. I know you said this year you expected to be, the Photonics to be pretty flat year-over-year. But is there any thing that you can – that you are taking out from the Photonics activity now that kind of gives you more longer term, more longer term hope or does the market still relatively flat over the long term as you see?
Wendell Blonigan: Well, I think what we see this year is we are – the business in Photonics ebbs and flows between funded development and product delivery. And beyond the Joint Strike Fighter we continue to be in volume, LRIP manufacturing and that program is going for a quite some time. We are going to see the Apache program which is again a product that is transitioning more to sustainment and then it will come back at a little later time with to upgrade those cameras to next gen technology. So we’re transitioning as we move to the back half of this year into a more dominant R&D funded activity which is built around making this brand-new sensor, the ISIE-19. We've been working on for a while, and it was really key for us in the first half of this year to shore up and make sure we had all that funding in place, because it can take some time. And I think my commentary today is that we made great progress. The DELTA-I program came through with us. That comes in the April, next years when the funding starts there. However, as also said in the second quarter we booked 400,000 to continue that effort and we expect another $2.2 million to continue that effort to come in this week. So, if you’ve seen the transition in between little more funded development versus product this is all kind of the natural cycle of it, but what it’s really doing is setting us up with the next center to fill all the sockets we’ve already filled and will fill with the ISIE-11 sensor.
Q - Craig Ellis: Thank you very much. I’ll jump back in queue. Sorry.
Wendell Blonigan: Yes. One thing I did mentioned on the call that I would highlight is that the last binocular program that we were engaged with was a joint project we did with another company in 2013. We have not had a lot of activity in funded development for binoculars. Since that time, however as we move into the first half of this year we now have two programs , the DELTA-I which is delivering the binoculars goggles as well as the Australian Army program that we just got aligned with is also delivering goggles. So, that’s another set of products for us that were under development today to deliver in the future.
Q - Craig Ellis: Perfect. Thanks for your comments. That’s it from me.
Wendell Blonigan: Great. Thanks Ben.
Operator: Thank you. Your next question comes from the line of Mark Miller with Benchmark Company. Please proceed.
Mark Miller: You been discussing the second customer for the DLC coating for quite a while and you term there have been exhausted testing, I’m just wondering in terms of the qualifications are you through with all the qualifications you've done so far, are you successful, are you still working on a couple of issues there?
Wendell Blonigan: Well, I think, in the applications that we’re dealing with right now slightly different than what we dealt with the first products a Truly and there is a multi-dimensional type of evaluations that have to occur. Some of them very technical, some of them not so technical, some of them were look and feel and things like that. So as we go through this process there’s new type of testing that’s happening that we haven’t done before with our previous customer as well as our desire to continually improve the performance of the films that we’re putting down as well. So it's a little bit of both. It’s ongoing. I mean, to kind of put in perspective, we did a lot of work with our in-house coating on this particular project and we put the first tool out in the field in December for this customer, signed it off in January, so you can basically say that the tools been under valuation for about four months. So, although we talk about the order and we built the tool and we’re in evaluation, we’re still working.
Mark Miller: Okay. Are there any specific issues with this customer related to the customer such as delay and a reduction of new products that are also impacting you?
Wendell Blonigan: No. I couldn’t comment on anything like that.
Mark Miller: Okay. Turning to hard disk drive, here you’ve raise your revenue estimate for this year because of non-system revenues. Is this being generated by a retrofit of a number of tools or a limited number of tools? I’m just wondered the magnitude of this opportunity, or is it just simply more spares and service related?
Wendell Blonigan: No. I think the bulk of this that -- the upside that we saw and some of the ongoing activities beyond the 200 Lean sales that are going in for technology upgrade is driven more by the evolution of the actual media technology itself, so its not completely broad based, but is certainly traveling with product lines that would be upgraded to say, a new process or something like that, so that's kind of where we see that.
Mark Miller: Okay. So it’s more of an upgrade and just increased service revenues which could extend the number of system?
Wendell Blonigan: That’s correct, that’s correct.
Mark Miller: Okay. Well, that’s promising. All right. That’s all from me at the moment.
Jim Moniz: Thanks Mark.
Wendell Blonigan: All right. Thanks Mark.
Operator: [Operator Instructions] Our next question will come from the line of Nehal Chokshi with Maxim Group. Please proceed.
Nehal Chokshi: Thank you. Congratulations on solid results. We’ll add on to Mark’s initial questions about the VERTEX qualification process. You did describe that was taking a little bit longer than it anticipated? And I think some of your answers to what Mark has to say, describe as why that is, but I wanted to see if there was anything additional there that is driving that longer than it anticipated qualification process?
Wendell Blonigan: You know, maybe one of the answers to that is my judgment on how long it was going to take, might been off a little bit.
Nehal Chokshi: All right. Got you. So…
Wendell Blonigan: At the moment there’s a lot of new stuff, so that’s good thing.
Nehal Chokshi: Right, right. Okay. Now given that this qualification process has taken bit loner than it anticipated, do you – how would you describe the confidence level, whatever level it may have been that VERTEX will move into that 25% adoption of cell phones at some point in the future relative to what your confidence level was one quarter ago?
Wendell Blonigan: I think as far as looking at our estimates to what that market opportunity is, I think it’s the same. I think that again as I’d mentioned, I think just on a -- just recently in answering the question is that we continue to work on our protected films and we have some of the OpEx that you see in equipment is working on the different films for different applications. I think any delay in adoption on front cover glass is offset by the fact that we are seeing activity on the back side of the cell phone as well which we’re fundamental we’re never into those estimates of square meter of cover glass process in 2020.
Nehal Chokshi: When does you start seeing the activity on the back side begin to kick in?
Wendell Blonigan: I would say it’s more of this year phenomena.
Nehal Chokshi: Okay. And just to be clear, the question was really confidence level. I’ll put it as a probability of something happening. That confidence level or the probability of that this something will happen, has that change relative to a quarter ago. Not the cam assessment but the probability that you would assign, what probability that might have been?
Wendell Blonigan: Yes. Well, it’s the same because those tools that we were putting our guidance in our call three months ago are in the guidance that we gave today.
Nehal Chokshi: Okay. And just to be clear, the guidance that you did provide 40% year-over-year growth that embed additional order or orders for VERTEX?
Wendell Blonigan: There’s a lot of different moving pieces, so it could either.
Nehal Chokshi: Okay. And my question is that you did mentioned that you are looking at different ways to reduce lead time, one was to actually build systems into inventory such as you get the PO you can ship it on demand. At what point in time of the year would you decide to start build systems into inventory, i.e. could we actually start to see inventory levels go up on a September quarter without the actually order being placed?
Wendell Blonigan: In the September quarter, we probably be closer to the tail end of that quarter, that we would be looking at additional inventory. We certainly have – we’re managing long lead parts now, because they don’t show until we particularly see it, so.
Nehal Chokshi: Right. Okay. Thank you very much. Yes, go ahead.
Jim Moniz: Yes. If I can. You don’t forget that the 12 system order we got for the ENERGi tools, won’t show up as revenue until 2018, so you will see some inventory build associated with the ENERGi tools that we’re building and shipping because they’ll show up in inventory build. You’ll see some customer advances and then as we ship them they will go into deferred revenue, but they’ll stay in inventory until we revenue them.
Nehal Chokshi: Okay. And so that inventory build will start within the September quarter or December quarter for the ENERGi systems?
Wendell Blonigan: Those are already stared. We got the order I believe in February and so we started ordering material after that. So some of June will already have that inventory build in there.
Nehal Chokshi: Got you.
Wendell Blonigan: But keep in mind we also got customer deposit for that. So we don't just manage the inventory to ship to the customer, we’re continuing to manage the cash.
Nehal Chokshi: Right. Okay. Thank you very much.
Jim Moniz: Thanks.
Operator: Thank you. Your next question comes from the line of Orin Hirschman with AIGH Capital Partners. Please proceed.
Orin Hirschman: Hi, James, how are you?
Jim Moniz: Fine.
Orin Hirschman: So, and just in terms of solar and in terms potential additional orders, does these have to go through installation and acceptance first in order to get to the next level or its not necessarily or they are familiar with the products enough?
Wendell Blonigan: I would say, right now they have the two tools. I think we’ve gone through their history. We have to do some upgrading on those tools. We’ve revenue those now and they’ve ordered the next batch of 12, so they are pretty familiar with the tools. I think that its their overall – when I reference success with that product line it's really not only our tools the other tools as well as the device itself and how it yields and what is efficiency levels are driven to. So there’s a lot of pieces there, But when they're successfully they certainly we have publicly announced plans that they’re expanding.
Orin Hirschman: Okay. So they have to go through the whole installation procedure for the first capacity before they – or have it up and running, even before they would come back to you in the next stream [ph] or they don’t have the work this [Indiscernible] here?
Wendell Blonigan: I think that’s – there is no requirement that I’m aware of that the first tools out of this batch are fully through installed, but I would assume giving the fact of whether timing is and I talked about you being in a position 2018 first tools are – first tool gets our of here this week, it's already boxed. So there’ll be ample time to get those tools installed and running.
Orin Hirschman: Okay. In terms of VERTEX, I’m not clear that we’ve done this few time in this calls, so I apologize. Are you hoping the tax to shift [Indiscernible]?
Wendell Blonigan: Arne, I’m really having trouble understanding, if something happened to your line.
Orin Hirschman: I apologize, in terms of VERTEX I apologize that you’ve said it a few time, but I’m still not clear. Are you hoping revenue an addition VERTEX system this year or book an orders for an additional VERTEX system this year?
Wendell Blonigan: At this point the VERTEX tool has gone through its perfunctory sign off, so we would take revenue on anything that shipped out of our factory at shipment, most to the revenue. We hold back 10% or so for sign off.
Orin Hirschman: And then in terms of what baked into the guidance, I know two of the people ask that, but I just want to make sure, is baked into the guidance from no additional revenue, one additional system of revenue or just – should we just noting the important thing that you’d hope to get another order this year?
Wendell Blonigan: Yes. In that is had least a VERTEX in that guidance that we gave. And we’ve got a lot of moving paces in our revenue, so we’re not only looking at VERTEX, we’re looking at our HDD business, we’re looking at upgrades that could be going on there and we kind of piece that all together and that’s where we come up with the 40%. But as we move from last quarter to this quarter I think my point is we specifically said there was a VERTEX in there in our guidance and it has not gone away.
Orin Hirschman: Okay. Two additional follow-up on VERTEX and I’ll let somebody else to ask. In terms of hoping to get another VERTEX shipment in this year is it possible to come from a third customer or it has to come from one of the two existing customers?
Wendell Blonigan: No, no, its – as I in my prepared remarks beyond the two customers we’re working like crazy. We’re also engage with other cell phone and covered glass makers on different projects as well, but we manage that out of our coating operation here internally.
Orin Hirschman: Okay. Maybe none of them have actually played with the tool themselves on their own premises yet?
Wendell Blonigan: That’s correct, that’s correct.
Orin Hirschman: Okay. Do you feel that precludes an order till they play with the tool or not necessarily?
Wendell Blonigan: Typically that’s not been requirement at least for the stuff we’re doing with other customers. It’s really the films themselves and the performance and getting enough confidence in the volume that a tool is required to provide that capacity, so is an example with the activity. We are truly, we put one tool in there, they have purchased it. We will work with them ultimately they are end customers who are going to want to see that they can deliver the same film quality that Intevac can here in the U.S. so that drives that tool and then really in order to get a larger order you have to have the existing capacity in place, otherwise it’s a chicken in an egg, and that’s what drove the four additional and truly so it’s similar everywhere else.
Orin Hirschman: And just then last question on VERTEX, just in terms of the color, the back glass application that you have been [Indiscernible] charging over that before, then a typical question just is that something where you will think you will see or your customers actually really say whether customers will see a design win in 2017 or unlikely?
Wendell Blonigan: You know in the case of Truly there out there, absolutely with their Magic Glass solution that not only includes the three dimensional back cover glass and the tempering of that, but also with the PVD films that they are putting down to put patterning and color and matt finish or satin finish as well as the oDLC, they are out there pushing that hard. I think you are seeing the covered glass manufacturers themselves wanting to add value in that space by providing not only the covered glass but the actual film stack that goes on depending on what each customer might want.
Orin Hirschman: Then on that specific point, what do you think is taking so much time and getting the back glass and again it may not be a lot of time because we are not in the [Indiscernible] of things on what’s going on, you are or more. But what do you think is entitlement to getting the first design?
Wendell Blonigan: I think it’s probably the new activity we were marketing. We’re marketing what I would call people that are going to follow some of the bigger guys in China. So I think that there is a demand cycle that’s driven by the top two or three cell phone makers that everybody moves with them. I’m not completely sure what the global capacity for three dimensional glass manufacturing is. There with the 1D and 2D glass almost all the covered glass guys can do that, but to be able to mold it and temper it into these 3 dimensional shapes, I think there is a limited amount of capacity there and that might actually some of that capacity is captive inside of the cell phone makers I’ve been thinking.
Orin Hirschman: But then that means you have to have a AAA tier 1 guy to do it first before someone like Truly – get an order or Truly has the capacity and the capability to actually get a Tier 1 order.
Wendell Blonigan: They certainly have the deposition capacity to take a significant order, you know on oDLC they have got 4 machines, so I mean depending on how you define significant 4 machine is only going to do 24 million a year which is a small order from a big guy. So, you know again with the back cover glass certainly we are seeing the trends and the cover glass manufacturers want to add value in that space, certainly I believe the new Samsungs out are all glass covered, back covered glass. So things are moving in that direction.
Orin Hirschman: Okay. Thanks very much.
Wendell Blonigan: No problem, good talking to you.
Operator: Thank you. There are no further questions at this time. I’ll now turn the call back over to Mr. Blonigan.
Wendell Blonigan: Thank you. Before I sign off, I’d like to thank the dedicated employees of Intevac, all around the world for their tremendous effort and successful outcomes in this dynamic environment. I also want to thank our customers for their continued business and appreciated partnerships. I thank all of you for joining us today and we look forward to updating you again during our Q3 call in October. Until then, so long.
Operator: This concludes today’s teleconference. You may now disconnect.